Stephan Engels: Good morning, ladies and gentlemen, welcome to the Commerzbank’s Conference call for the Third Quarter 2014. I'm looking forward to presenting you our Q3 results and discussing them with you in our Q&A session afterwards. I would like to start with a short recap of the comprehensive assessments. As you can see on slide two, we have passed the exercise in the adverse stress scenario with a Core Tier 1 ratio of 8%. Also on a fully phased in basis we have come up with a ratio of 6.9, well above the threshold of 5.5%. These results confirm our conservative evaluation policy and our stable and stress resilient business model. The good result is also testimony to our strategy. We are already at an early stage started to significantly reduce our risks and strictly focus on our client centric business model in the Core Bank. As already stated last week in our press release, I would like to point out again that the AQR findings do not lead to any change in our expected risk provisions for 2014. Now let's have a look at our Q3 figures starting on Slide 3. In Q3 Commerzbank has increased its Group operating result to a €343 million after €257 million in Q2 2014. After nine months in 2014, the Group operating result of €924 million exceeds the result of nine months 2013 by 44%. In this respect we profited above all from lower loan loss provisions which have been reduced by €460 million. This compensated for slightly lower revenues as a consequence of the portfolio rundown in NCA and the ongoing low interest rate environment. With the Group net result of €225 million in Q3, the net result after nine months 2014 sums up to €525 million. In the Core Bank we have achieved a sound operating result of €593 million in Q3. Revenues in the Core Bank have slightly increased by 2% compared to 2Q, despite summer seasons which usually comes along with the slight drop in revenues. The loan volume and private customers and Mittelstandsbank has grown by 2% each compared to Q2, 2014. This proves further progress in the execution of our strategy. In our non-core asset division we have continued the asset run down in the course of Q3 2014. The exposure at default for commercial real estate and ship finance now stands at €36 billion at the end of Q3. Loan loss provisions in the group of €341 million has been overall in line with our expectations of significantly lower Q2 which benefitted from a €112 million release due to our commercial real estate sales in the course of Q2. In Q3, we have again managed our cost to stay flat at €1.7 billion. Our ongoing cost management successfully compensates for underlying cost increases such as collectively agreed salary increases, strategic investments and burdens from regulatory requirements. Also, our capital has been further strengthened in Q3, our common equity Tier 1 ratio fully phased-in now stands at 9.6 after 9.4 at the end of Q2. Slide 4 provides you with an overview of the key financial figures. As you can see all figures improved on a quarter-over-quarter comparison as well as on a year-over-year comparison. In an addition to the financial result, also our asset run down in NCA and our capital ratios improved significantly. Year-over-year the exposure at default in NCA has been reduced by €36 billion or 29% and our Core Tier 1 fully phased-in has been increased by 90 basis points to 9.6%. On Slide 5, you see the quarterly P&L development for the Group. Please remember that we had a €71 million burden from our capital accretive commercial real estate sale in Spain, Portugal and Japan in Q2. Well excluding this Q2 effect, we still have had a 5% increase, leading to an operating result of €343 million in Q3. The development of revenues, LOP and cost reflects the overall stable business mix of the Group. A quite successful Q3 is especially apparent if you compare it to the Q3 2013 as you can see that the operating result has more than tripled. Our tax rate in Q3 has normalized to 27% together with minorities of €25 million, this leads to a good net result of €225 million in Q3, 2014. If you turn to Slide 6, you can see that our total cost has again been managed to remain flat at a level of 1.7 billion, like in all quarters since the beginning of 2013. Personal expenses show a slight increase of €9 million quarter-over-quarter predominantly due to collectively agreed salary increases. If you compare the personal expenses nine months 2014 to nine months 2013, you come up with a decrease of €78 million reflecting an overall net reduction of more than 1,500 FTEs in the last 12 months. Operating expenses in Q3 showed a slight decrease but are in general still affected by regulatory requirements as already stated in our Q2 reporting. As outlined on Slide 7, the loan loss provisions in Q3 amount to €341 million in line with our expectations. Q3 LLPs of €90 million in the Core Bank has been benefitted from a very low figure in MSP on a nine months comparison to 2013 LLPs in the Core Bank have been reduced from €531 million to €386 million providing further proof to the quality of our loan portfolio. In NCA, we had LLPs of €251 million meeting our expectations for Q3, these LLP bookings exceed Q2 which benefited from the release of €112 million due to the commercial real estate portfolio sales. Slide 8 provides you with an overview of the development in the Core Bank. With €593 million we have achieved a sound operating result in the third quarter 2014. Revenues increased by €48 million with good trends in all Core Bank divisions despite summer season. If you compare to the third quarter 2013 the sum of net interest income, net dealing income as well as net commission income increased overall by 6.1%. This underlines the strategic progress in the Core Bank despite the persisting low interest rate environment. Others and consolidation also showed improvement with an operating result of minus €142 million after minus €211 million in Q2. This improvement stems predominantly from an improved treasury result, taking advantage from changes in interest rate and FX curves in the course of Q3. Furthermore, one off such as positive results from the buyback and cost of own liabilities and lower expenses in group wide projects supported the positive development in Q3. On the other hand Q3 as in previous quarters was still burdened by regulatory requirements and by addition and releases for legal and other provisions. For the upcoming quarters, I expect the result of others and consolidation to stay within our previous guidance of minus 150 million to 200 million on a quarterly basis. Now let's have a closer look at the quarterly development of the Core Bank segments, starting with private customers on Slides 9 and 10. With an operating result of €121 million in the third quarter, PC is well on track and the strategy of our PC division is paying off. The revenue increase of €20 million quarter-over-quarter to large extent stems from an increased net commission income in recurring revenue streams from premium and managed accounts, one of our key strategic approaches. The share of customer efforts and premium and managed accounts has increased by another 3 percentage points quarter-over-quarter and by 12 percentage points year-over-year and stands now at 34%. Growth in loan volumes especially retail mortgages forms a second key strategic approach in our private customers division. Compared to Q2, our colleagues in PC have managed to grow the loan book by 2%. This shows that our increasing new business in mortgage loans of €2.9 billion in Q3 well exceeds repayments by our customers. With regards to the third key strategic approach we have acquired another 77,000 net new customers in course of Q3 adding up to nearly 250,000 after nine months in 2014. In our Mittelstandsbank, as you can see on Slides 11 and 12, we have also reached a good operating result of €363 million which also benefitted from very low LLPs in the third quarter. Revenues in the third quarter 2014 has been stable compared to Q2, increased net interest income from loans could compensate for the ongoing pressure on deposit revenues due to the low interest rate environment, also the negative swing in CVA, DVA of €19 million quarter-over-quarter have been compensated by MSP. Mittelstandsbank has again increased its loan volume by another 2% quarter-over-quarter and by 10% year-over-year. Loan volumes with corporates in Germany has also again increased compared to Q2, outperforming the market according to the latest Bundesbank statistics. LLPs in Q3 with an amount of €36 million has been very low with no special one off or releases. There has been simply no significant defaults in the third quarter maybe this is one of the rare cases where the summer holiday season pays off. On Slide 12, let me highlight just two messages first with the Mittelstands Germany we have seen recovered revenues from FX hedging due to the increased U.S. dollar volatility which has led to higher client demand and hedging. Second, please note that on a year-over-year comparison, Großkunden & International outperformed Q3 2013 if you adjust the figures for last year's positive one off of €83 million from restructured loans. As you can see on Slide 13, our segment Central and Eastern Europe have again delivered a descent operating recent of €93 million in Q3 2014. The growth story in mBank continues with increased revenues and record level despite pressure on commission income due to the regulatory reduction of interchange fees in Q3. The positive trend in net interest income continues due to growing loan volumes. Please note that our NII and our segment CE has not only increased by 5% quarter-over-quarter but even by 38% year-over-year. mBank is taking also further steps with regard to the strategic development. The recently announced partnership with AXA and cooperation with Orange Polska will provide new strategic benefits in the future. Please turn to Slide 14. With an operating result, adjusted for OCS and net CVA/DVA of 149 million. Corporates and markets has had a strong quarter. Year-over-year the operating result in Q3 has increased by €39 million or 35%. FIC and corporate finance has improved their results compared to Q2 due to more benign markets and client demand. EMC showed a solid result after the seasonably strong second quarter. For further details on the performance in corporate and markets please turn to Slide 15. In corporate finance, we have seen continued good performance in loans and bonds. The revenue improvement quarter-over-quarter has been particularly driven by equity capital markets and structured solutions reflecting the healthy pipeline with regard to client demand. Like an MSP please note that Q3 2013 was strongly supported by a one-off loan restructuring which led to revenues of €83 million as disclosed last year. Adjusting for this effect, corporate finance has increased its revenues also year-over-year. Due to the cyclicality of the business and equity markets and commodities, it is more appropriate to compare Q3 figures year-over-year. Compared to Q3 last year's revenues increased with strong performance in marketing making of securitized products. Fixed income and currencies could significantly improve revenue levels in interest rates and FX due to increased volumes and volatility in the respected markets. To complete our picture on the Core Bank, please turn to Slide 16, where you can see the development of the risk profile of the Core Bank. The risk density in the Core Bank has further improved in almost all segments and stands now at 27 basis points after 29 basis points one year ago. Also the default portfolio has slightly decreased to €5.64 billion with a maintained high coverage ratio of 86% and a low NPL ratio of 1.6%. LLPs of €90 million in Q3 as already mentioned benefit from very low LLPs in the Mittelstandsbank. In our non-core asset division, as outlined on Slide 17, the portfolio run-down continues as expected. Quarter-over-quarter, the operating result in NCA of minus €250 million was driven by lower revenues and higher LLPs. When excluding the positive quarterly delta from our capital accretive commercial real estate sales in Spain, Portugal and Japan burdening the Q2 revenues, we actually see a revenue decline of €86 million roughly one third of this decline stems from the impact of the asset run down in our current income as these assets were still contributing to NII in Q2 2014. The other two thirds of the asset is subject to several one-off which in total contributed positively to Q2 and negatively to our Q3 results. As expected and always pointed out in the past, the revenue stream going forward will be affected by the ongoing asset rundown, this will lead to lower revenue spend in Q3, very much depending also on the volatility of valuation results such as IAS 39 effect. Slide 18 provides you with a more detailed view on the portfolio run-down and the risk profile of NCA. In Q3 2014, we have had a further run down in exposure at default of €4 billion. The run down in commercial real estate amounted to €1.7 billion, in line with our regular rundown management. In public finance, the run-down has been supported by a further transfer of €2.8 billion highly liquid assets to the liquidity portfolio of group treasury. In ship finance, our managed run down in Q3 amounted to €0.8 billion, this rundown as well as the rundown from maturities in public finance was fully offset by FX effect resulting from the stronger U.S. dollar in the course of Q3. LLPs increased an expected level after releases of €112 million in Q2 2014 due to the portfolio sales in commercial real estate. In-Ship Finance was a €173 million LLPs in Q3 the figure from nine months 2014 now stands at €383 million, compared to €419 million after nine months in 2013. This reflects our borrow and conservative approach towards LLP in shipping if you take into account the shrinking portfolio. All-in-all we stick to our full year guidance for shipping LLPs to stay slightly below the 2013 figure of roughly €600 million as we remain cautious under development of the shipping market. Also our Default portfolio has been further reduced by €0.4 billion to €6.8 billion at the end of Q3 with a slightly improve coverage ratio and NPL ratio. On Slide 19, you can see the development overtime of the important portfolio clusters in commercial real estate and Ship Finance. All-in-all these focus risk clusters have been reduced by 58% in Q3 2012 providing clear evidence for the effectiveness of our value preserving asset rundown strategy. As shown on Slide 20, our common equity Tier 1 ratio fully phased-in as they increased from 9.4 to 9.6. Risk weighted assets at the end of Q3 2014 stand at €216 billion, while the loan growth in the core bank has result in slightly higher credit RWAs, lower RWAs from market and operational risk have led to an overall decrease of €1.2 billion. Our common equity Tier 1 capital fully phased-in had increased from €20.4 billion at the end of Q2 to €20.7 billion by the end of Q3. Besides the consideration of our retained earnings of Q3 we have had a positive development of the revaluation reserve, the foreign exchange reserve and also our DTA reductions. These improvements could over compensate increased actuarial losses due to the low interest rate environment. These movements also underline the volatility of certain capital positions. In Q3 most of them moved into the right direction, but it cannot be ruled out that we might see for the future quarters with less favorable development. Subsequently as already mentioned, our Core Tier 1 ratio fully phased-in has increased from 9.4 to 9.6 by the end of Q3. Our leverage ratio and the fully phased-in rules as shown on Slide 21 has improved to 3.4 as of Q3 2014. Please note that this increase comes even in spite of applying the recently published stricter CR rules to so call delegated act. Last but at least I would like to give you can update on our outlook. First then in unchanged we keep on growing our business volumes in the core bank, a special focus lies on loan volumes in private customers and little Mittelstandsbank where we have against seen encouraging growth in Q3. Regarding revenue outlook, we expect a strategic initiatives to further pay-off, on the other hand we have to take into account that we have had a quite good Q3 along the lines of treasury corporate and market and also with regard to valuation effect. In Q4, I would expect a slightly less benign environment in terms of revenues which is very much in line with the expectations of most of our peers. Second, with regard to cost as of Q2, we guided cost of maximum €7 billion in 2014, now we can specify our guidance for total cost to €6.9 billion due to the effects of our ongoing efficiency measures. Third and unchanged, we confirm our forecasted LLP to stay well below last year’s level of €1.75 billion, LLPs social finance are expected to be slightly lower than 2013. Fourth and unchanged, we focus on our value preserving asset run down in NCA in commercial real estate and Ship Finance, our 2016 EAD target for commercial real estate in-Ship Finance is €20 billion. Fifth and unchanged, we confirm our 2016 target for our Basel III ratio and the fully phased-in assumption to stay beyond -- to stand beyond 10%, however we do not expect a linear development. Ladies and gentlemen, thank you very much for your attention. I am now looking forward to take your question.
Operator:  (Operator Instructions) The first question comes from Johannes Thormann, HSBC. Please go ahead with your question.
Johannes Thormann - HSBC : Three questions, if I may. First of all, regarding your loan provisioning outlook in the midterm, do you expect further declines? And then probably, especially looking at the very volatile performance in the Mittelstandsbank, what is your outlook there for the next quarters? Secondly, regarding your tax rate guidance, you talk about a normalized tax rate of 27%. Should we model in this for 2014 and the next years? And last, but not least, one of your people from wealth management talked about acquisitions as an opportunity. Again, could you elaborate on this? Thank you.
Stephan Engels: Starting off with the LLPs in midterm, we have, as we said also in Q2, that we believe that the expected loss is a indicator for the LLP development and specifically on Mittelstandsbank we have already said in Q2 that we believe that the expected loss which is outlined also in the risk report should be a good indicator for this year. There is a certain as you called it volatility between Q2 and Q3, but as I said there was no activity on the default side in Q3 which is good news, but it’s one key reason for the volatility here. The tax rate in indeed from today's point of view, I would think that we should end of this year within our normal range which we have given a 25% to 30% probably rather the higher end and in general terms I would believe that the guidance of 25% to 30% for the tax rate is an okay-ish assumption. With respect to the acquisition article which was strictly focused on wealth management to be a very precise I would confirm that our general strategy in private clients is to grow organically and if you review our previous quarters, I think they have been proved to this strategy if that is an offer in the market, we will probably look at it but as I said the key strategy is to grow organically.
Operator: The next question comes from Andrew Coombs, Citi. Please go ahead with your question.
Andrew Coombs - Citi : Good morning. One technical question for me and then one broader-picture question. Firstly, in terms of the technical question, you've seen decent loan growth in PC, but you've seen a 5% reduction Q-on-Q in RWAs. So perhaps you could just tie that up, exactly the driver is there? And then in terms of the bigger-picture question, if we look at the German economy, GDP growth forecast for next year has just been halved, demand for exports flagging, business sentiment relatively poor. So in light of that, do you really think that you can continue to grow the loan book, particularly in the Mittelstandsbank, as successfully as you have done? And, furthermore, what do you think the impact could be in terms of the provisioning outlook going forward into next year? And, again, I'm more thinking about the Mittelstandsbank and corporates & markets there rather than the retail division.
Stephan Engels: On the technical question, we have seen a substantial reduction in operational risk RWAs which drives the movement of RWAs in PC in comparison to the loan growth. So that is the technical answer. With respect of the German economy, it is obvious that at least expectations for growth rates have been reduced both for this year as well as for next year. Weather that substantially differs from what we have seen in the day-to-day business is debatable and nevertheless I think the current environment doesn’t necessarily provide tailwind for 2015, nevertheless our strategy our approach and our commitment is to grow in this market as we have grown over the last two, three, four quarters. With respect to loan loss provisions, I again would confirm that we believe that from today's perspective, the expected loss as you can see it by division on the risk report is in general a good indicator for LLPs also for the following years.
Operator: The next question comes from Britta Schmidt, Autonomous Research. Please go ahead with your question.
Britta Schmidt - Autonomous Research: Hello? Hello, can you hear me?
Stephan Engels:  Yes, we can hear you.
Britta Schmidt - Autonomous Research : Oh, okay. Line disappeared. I've got two questions, please. One is, with regards to litigation and legal risk, there's now more substantial wording in the quarterly report than there was previously. Can you perhaps give us an update on timing, expectations regarding the sanctions, the anti-money-laundering case and also the loan-processing fees in Germany? And, with regard to the latter, have any provisions been made? And secondly, on the AQR, you said no impact on 2014 provisions. Will there be something in 2015 or will there be a recognition in the expected loss reduction in capital or maybe as a Pillar 2 capital requirement?
Stephan Engels: Starting of with the litigation question, the wording that you find in the Q3 interim report on our U.S. sanction case is the precise and exact same wording that we have already had in the annual report 2013. So in that respect yes it is done, but it has no news. With respect to the money laundering case, we have seen a lot of press coverage at least. What we have said is that there is a investigation, the outcome of that is totally open from today’s perspective and as in previous quarters we do in general not comment on any provisions for legal cases, you have seen the wording on the others and consolidation segment also being unchanged to previous quarters. With respect to the AQR, maybe a very technical answer and then an economical, technically speaking we know that a good part of the amount is driven by prudential assumptions and are not necessarily IFRS compatible and nevertheless if you look for example at the AQR results for shipping in the amount of 260 million and if you look at our level of provisions that we have booked in shipping this year which is in excess of 380 million, I think we can assume that at least towards the year and economically the vast majority of the credit file review amount has been covered economically by LLPs and from that point of you I wouldn’t necessarily expect an impact in 2015, at least I have no indication so far.
Britta Schmidt - Autonomous Research: Okay, thank you. And do you have any sort of indication on timing on litigation now that it's slipped a little bit? Is there a timetable that you can share with us?
Stephan Engels: No comment.
Operator:  Next question comes from Johan Ekblom, Bank of America. Please go ahead with your question.
Johan Ekblom - Bank of America: Thank you. I just want to come back maybe to the revenue outlook. We've seen in the Core Bank, I guess for the first time in a while, some positive momentum on fee income. I know this is something you've been talking about extensively in the past. So maybe give us an update there if we've finally seen fee income bottom out and if we can expect some growth going forward? And then maybe just on net interest income. If we look at the operating units -- well, if we exclude corporates and markets, we've seen a decent trend before Q3, but I guess we've seen some drop, in particular in PC, this quarter. How should we view that? Is this a temporary effect? Or is this just a sustained effect of the lower interest rate environment that we should expect to continue?
Stephan Engels: General outlook on the revenues, the underlying trends long-term for both PC and MSB. I would confirm to be from today’s point of view still a positive. So we will and want to grow there. Q4 as we all know has a specific on the revenue side it seems to end somewhere in early December, on the LLP side it extends well into February and so on and so on, so I think the general trend is pretty much intact. Nevertheless, we will see the -- let's say the huge pattern of Q4 in Q4. The small decline in NII which we have seen in PC on Q-on-Q basis is not confirming a trend it all, so it has a little bit to do with the slight drop in interest rate that we have seen due to the ECB actions in Q3 which we will obviously try to compensate over the next quarters again.
Johan Ekblom - Bank of America: And just on the fee income, it's been an area that you've focused a lot on. I mean should we expect growth from here? Or are there still some of the legacy fee drivers that should mean we could go lower from here?
Stephan Engels: Sorry, if I am missing out on the answer, for the PC division I will confirm what I’ve said in the speech that we are focused on growing especially our recurring revenue business, so the positive trend that should be going on. In Mittelstandsbank this is also driven by client activity and in that respect increase volatility for example in, foreign exchange obviously has helped fee income since that increase client activity. So that way a little bit more subject to our general market environment, but it is clear that those things are in the focus of the respective management teams.
Johan Ekblom - Bank of America: Perfect. And maybe just a follow up to make sure I understand something. On the NCA unit, did I understand correctly that, out of the 86 million drop in revenue, you said around one-third of that is there to stay and but about two-thirds of that decline should come back?
Stephan Engels: What we said is -- let me phrase it this way. Going forward, we expect structurally slightly lower revenues compared to the current Q3 level. However, quarterly valuation volatility for example out of the IAS 39 derivatives, book and other stuff, will or may happen to start an effect on the revenue line which makes it a little bit difficult to give a clear run rate guide line in the sense that is the number. But if you take as I said the Q3 numbers, we would expect it in a clean version to be structurally slightly lower than what we have seen in Q3. Does that help?
Operator: The next question comes from Riccardo Rovere, Mediobanca. Please go ahead with your question.
Riccardo Rovere - Mediobanca : Yes, good morning to everybody. Thanks for taking the questions. Three questions from my side. I've noticed an increase in the assets classified as available for sale in the nine months in respect of the end of [2013], I was wondering what is driving that. The second question I have, when you say on the -- regarding Core Tier 1, when you say we should not expect a linear development, what do you exactly mean? And the third question I have is the leverage ratio is going up a bit quarter-after-quarter but is still, let's say, at least from my side, pretty low. Is there anything, let's say, easily that you can do to improve it and get maybe closer to 4%? Thank you.
Stephan Engels: Yes, let me start probably with the linear development of Core Tier 1. We have, as in previous quarters, we have said that we have certain positions with the Core Tier 1 calculation that are having let's call it mark-to-market features and I have mentioned two of the, for this quarter. Nevertheless, I wouldn’t necessarily expect that to take a volatile development. All I am saying is that we also might see a quarter with good performance which might now fully turn into Core Tier 1 improvement. With respect to the leverage ratio, the 3.4 that we have now as we said, reflects the latest more stringent definitions under CRR. It is well above the current regulatory requirement. We all know that additional tier 1 has probably a positive result on this, but as we've said before, we are currently on a path to grow this organically along with the path that we grow our Core Tier 1. Nevertheless we will knowing the more detailed delegated act now managed the positions on our balance sheet accordingly. With respect for the assets held for sale, I would suggest that I refer you to our IR department, because I don't know the exact answer here.
Operator: The next question comes from Martin Leitgeb, Goldman Sachs. Please go ahead with your question.
Martin Leitgeb - Goldman Sachs : Yes good morning. Two questions from my side, please. And the first question is it's now -- I think it's now almost two years since the strategic update back in November '12. And, with that, we're some way -- halfway through the restructuring towards the 2016 targets. I was wondering if you could give us an update on how you see Commerzbank reaching these targets, in particular with regards to Group returns. And I think a key differentiating factor from then until now is probably that interest rates have -- are substantially lower than we probably would have thought some two years ago. And if I look at your divisional return on equity you published in the presentation and compared that to the targets you put out in 2012, it looks like in the main four divisions you're already pretty much there in terms of return on equity. And, given the low interest rate environment, I was just wondering is there more pain to expect maybe on the PC side in terms of higher yielding loans get replaced by lower yielding loans? And, yes, if you just could give us an update on where you see yourself in terms of operating performance for the operating units versus 2016 targets? And the second question is just with regards to the German deposit markets. Could you comment if you see increased competition from foreign banks trying to gather deposits, mainly on the online side? And what your outlook is there, given that the ECB will take over as the common supervisor this month?
Stephan Engels: So this was a broad set of questions. Let me probably try to sort it as the following. With respect to our progress since the Investors Day 2012, I think our full year release in February would be the more appropriate point to draw a half year -- half time kind of resume. Nevertheless, as you mentioned the environment definitely to that respect hasn’t been very benign, we have seen substantially different environment both with respect to growth as well as to interest rates and also capital requirement have substantially change. But as I said before I think the right point in time to put a resume together would be our Annual Press Conference in February. With respect to the two questions the most specific ones on private plans, we have seen with a certain level of up and down and coming and going additional competition for deposit business in Germany already before taking over of the single supervisory mechanism which is only third or fourth day today. Anyway, I would expect this to stay with us also for the future. Until so far I think with our increased product offering and our substantially improved services, we have been very well competing here. As mentioned before, we have gathered almost 215,000 new clients in private customers this year, so I guess the impact is limited. With respect to the run of higher interest rate driven loans to now lower interest rates, mark loans, yes there is a certain level still ahead but I would think that we have seen the bulk of it already in the last quarters or the last year.
Operator:  The next question comes from Maxence Le Gouvello, Credit Suisse. Please go ahead with your question.
Maxence Le Gouvello - Credit Suisse : Good morning everyone. A quick question on Mittelstandsbank. Your performance on the top-line is quite impressive, especially when we are hearing so many competitors in Europe willing to step in on this market. Can you give us a little bit more color of what is your views on the main trends on this specific business? Thanks.
Stephan Engels: Thank you for the question. Again in Mittelstandsbank we have also seen in the past numerous new market entrance in Germany in this obviously very attractive market in many cases these have gathered a certain level of business but never found a real long-term foothold. That doesn’t necessarily mean that this will be staying like this forever, but so far again here I think our very strong market position, our long standing relationship also through crisis with our customers provides a very solid position to stay ahead of competition and as we have seen on the growth in loan volumes over the last quarter it also pays off.
Maxence Le Gouvello - Credit Suisse: Stephan, let me rephrase. I believe that -- I do agree that your franchise is highly protected on the mid to small corporate because the newcomer will have difficulty to access to them rapidly. But on the large one, are you facing more significant pressure? Because we are hearing ING, BNP, SocGen, the Nordic banks, everyone is willing to step in.
Stephan Engels: As I said that is true and again that is not necessarily different to any of the two or three previous years. again entering the market on the big corporate is obviously easier because you’ll never find a treasurer of the big German corporate or docks companies that will not take a fifth or sixth bank into a syndicated line if that lowers the margins a little bit, but at the end of the day this is not sustainable business in terms of return on RWAs or ROEs. If you don’t get the connectivity and have the overall position and that is where most and I margin not saying all, well most of these strategies ended after a year or two that probably head office controller said at the certain point you have assembled an impressive portfolio. But in general the economic sense is not very clear and then we have seen the exit of these -- of most of these as well.
Operator:  The next question comes from Guillaume Tiberghien - Exane. Please go ahead with your question.
Guillaume Tiberghien - Exane: Yes, I've got two questions. The first one is bouncing on the outlook you gave for non-core assets affected by the rundown of the positions, I was wondering when and if you think that the pre-provision could turn into a loss maybe at some point in 2015 or in 2016, so before provision? And the second point is on the guidance that you gave for the 10% Equity Tier 1. I understand that it can be volatile from one quarter to another, but still telling us that you expect to only build 40 basis points in nine quarters seems extremely conservative, or maybe suggests that you know some items that need to come through that we don't. So can you maybe give us a hint as to what elements you need to factor in your solvency that could affect it negatively? Thank you.
Stephan Engels: Again on the NCA revenue guidance, what I said is that the current level of revenues in Q3 in NCA is probably slightly above what I would think is the clean run rate. But it is obviously clearly positive and whether and to what extent valuation fluctuations might drive that into negative that remains to be seen. The underlying revenue stream is clearly positive before provisions. With respect to the Core T1, there is nothing that I know that you don't know, I think the difference between you and my calculation is that I've always been saying that we want to achieve a capital ratio of above 10% by the end of 2016 and in that sense, my goal is definitely higher than just the 40 basis points which makes the 9.6% to 10% difference that you have been calculating.
Operator: The next question comes from Matteo Ramenghi, UBS. Please go ahead with your question.
Matteo Ramenghi - UBS : Good morning, and thank you for the presentation. I have two questions left, mainly on the balance sheet. The first one is on the risk weighting of the assets, because I noticed the assets are up €17 billion. The risk-weighted assets are down by about €1 billion and, therefore, there is a reduction in the risk weighting. I was wondering what drives it, is it a different asset mix? And also what are the expectations for Q4, a further increase in total assets or rather a decrease? And the second question is on the mark-to-market of the financial assets on page 84 of the quarterly report. I noticed it has increased slightly to negative 3.1 billion. I understand it's not included in the shareholders' funds or Core Equity Tier 1, but I was wondering if there is any color on why it increased. Is it perhaps driven by the EURIBOR decline? And also I was wondering if in the future, it will be possible for you to unwind those assets to improve the profitability, although probably incurring in a negative equity impact. Thank you very much.
Stephan Engels: Yes, Matteo, on the Q3 development of balance sheet versus RWA, that is mainly the effect that I've mentioned earlier that is a slight increase in credit risk RWAs more than compensated by a reduction especially in operational risk RWAs, and market risk RWAs. I would expect credit RWA to grow according to growth also going forward in Q4 let's say predicting market and operational risk RWA is little bit more difficult, but in general I would expect probably the RWAs to be in the range where we are right now. We have seen 217 billion in Q2, 216 now in Q3. I would guess that is a roughly from today's perspective a good indication for what we should see towards year end. And the question on your page 84, that is a note on the mark-to-market valuation of certain of our assets in public finance. These are basically valuation assumptions which do not comply with our hold to maturity strategy and in that sense they are not relevant for the Core Tier 1 or the PNL. And again I think that is part of what we have also said on our NCA risk as long as we do not have a euro breakup and hold this to maturity, these numbers automatically go down to zero.
Operator: 
Benjamin Goy - Deutsche Bank Research : Hello, good morning. Can you hear me? The line was interrupted.
Stephan Engels: Yes, we can hear you.
Benjamin Goy - Deutsche Bank Research : Okay, sorry. On three questions, please. One is a follow up. MSB continues to grow well, the loan book. Maybe you can elaborate a bit more on the loan growth. Is it driven then by existing customers? I know you highlighted a bit on your longstanding relationships. So is it mainly existing customers that increase the drawings from credit lines? Or is it also a new business, so maybe a split here? The second question would be, I noticed that the cash NPL coverage for the shipping book is now at 40%. In particular container, our coverage for container ships moved up significantly. So do you think we will see more sales going forward into 2015 with higher coverage? And my last question relates then to the single resolution fund. We could read in the German press that, or in the press generally, that German banks are likely to contribute 15 billion over eight years. Could you update us on the timeframe, particularly Commerzbank likely contribution as well as any offsetting factors? I appreciate there are still some discussions around the details going on, but maybe you can give us a ballpark estimate for the incremental net effect then going forward? Thank you.
Stephan Engels: On MSB, the answer is that it is a good and healthy mix between both existing customers increasing the -- or we are increasing our share of wallet at existing customers as well as new business. The new business also happens in the somewhat smaller revenue segments which gives you then totally different impressions if we compare it on the customer, by customer base or on volume base, but in general and that’s why I am not willing to give you a number, but in general terms would say we have a very healthy mix between the two things both on the new customer side as well as on the existing customer side. As you rightfully mentioned, we have again increased our coverage on ships in general and obviously also on containers, the question of whether we see more sales or not is from today’s perspective not necessarily only a matter of pricing, but also a matter of demand. You’ve seen that we have done a relatively sizeable transaction in the past with the nine containers, I guess we are willing to do more of that, but the market is still very slow and from that point of view, we still way very carefully our options on what is the best way going forward in sums whether your preserving asset rundown and economically the most attractive way is obviously convincing customers to repay the loans earlier. With respect to the single resolution fund, as you rightfully mentioned there has been some changes and I think there is still some legal wording in the mix, our best estimate as of today is that we will probably be above a three digit number. I say not massively above somewhere between let's call it 100 million and 150 million is form today’s point of view probably a good indicator.
Benjamin Goy - Deutsche Bank: Okay, thank you. Maybe a follow up here. And this would be the net negative incremental effect. So and then, to put it into context, the current consensus expectations for ‘15 is basically slightly lower cost and ‘16 marginally up. Do you think this will be challenging with this background and from the single revolution fund?
Stephan Engels: No again I think that there is a lot of detail still open and we have already been paying bank levies in 2013 and ’14 before and I think that is one of the topics which seems to be at least not fully clear how much of the existing of the previous payments will be replaced by the new funds and so on and so on. So it is not a net increase in total, but how much it is one of the things that I guess we need to see towards the final settlement of the legal language.
Operator: The next question comes from Mathew Clark, Nomura. Please go ahead with your question.
Mathew Clark - Nomura: Good morning. A couple of questions on net interest income. I guess, firstly, in the corporate center there was quite a positive development quarter-on-quarter. Could you just talk about what drove that? Is that sustainable? Are you benefiting from maturity intermediation as short-term rates drop? How should we think about that? And then, secondly, in the retail, or the private clients division, you said that you'd look to mitigate the negative impact of lower interest rates. Just how do you expect to do that? Can you fully reverse the negative impact that you saw in the third quarter? And presumably there's some carry-through into the fourth. How would you do that and can you fully offset that? Thank you.
Stephan Engels: If we start probably with the PC NII as I said the cut-in rates in Q3 has had this very small impact I say--
Mathew Clark - Nomura International: Can you quantify it?
Stephan Engels: No, I don’t think to give the number and again I guess we will mitigate this was the classical mix of new product adjusting rates and the normal set of measures that we have looking back for the last five, six, seven quarters I think we have been pretty successful in adapting to the market in that respect. So I would guess, but it definitely doesn’t signify a trend in terms of the NII of private clients. The NII in other and consolidations is as you already assumed driven especially by a better treasury results between Q2 and Q3. Again treasury result to a certain extent is volatile that is why we have given the range for others and consultation in terms of overwriting result of somewhere between minus 150 and minus 200 and that is from today's perspective that will -- what we would expect going forward.
Mathew Clark - Nomura : So do you think it's the net interest income, that's going to be the volatile element in the corporate center? I guess I didn't quite understand why it should be that rather than the valuation line in that division?
Stephan Engels: But again that depends on what kind of position or thing happens -- that also can obviously be net dealing income.
Operator: The next question comes from Dirk Becker, Kepler Cheuvreux. Please go ahead with your question.
Dirk Becker - Kepler Cheuvreux : Yes, good morning. Two short questions, please. First of all, on the result on the non-core assets, the 250 million loss, would it be possible for you to split this up how much of the loss pertained to public finance, shipping and commercial real estate, please, and how you would expect this going forward? And then, secondly, on the loan growth that you had in the third quarter, can you talk about the margins that you had there and how they compare with historic margins in those businesses, please?
Stephan Engels: Maybe if I start out with the second question, we have so far not disclosed margins in this business. But we can, I can confirm that the margins have been stable for the last three, four, five quarters. So in that sense the new business comes along with generally the same margins as we have on our books. With respect to segmental or sub-segmental results on NCA we have not given any detailed information on that. Nevertheless, I think if you look at the amount of LLPs that we allocate to certain segments that should give a good indication of who has which power to contribute to the overall result, but as I said no specific sub-segmental results.
Dirk Becker - Kepler Cheuvreux : Maybe just for an indication, I don't think you had any loan losses for public finance, for instance. Does that mean you make a profit there?
Stephan Engels: I think that has been also disclosed several times over the last calls, the public finance has in total a slightly negatively carry. Please remember that the original business model of all this paper assembled here was to buy a long running government debt and repacked into German covered bonds at the time when these business models were active, cost of liquidity risk was basically zero since at least this is not the case anymore by today. We have to assume or you can safely assume that the overall portfolio might have a slightly negative carry.
Operator: The last question comes from Jeremy Sigee, Barclays. Please go ahead with your question.
Jeremy Sigee - Barclays : Just I know there have been a lot of specific questions on different revenue drivers, but I just wanted to ask sort of an overall question on revenue outlook into next year. You're obviously being cautious on the outlook for 4Q. And I just wondered I mean in terms of total Group revenues into next year, they seem to be the main hope for profit growth for the Group and I can see consensus is looking for something like 4% to 5% top-line growth for the Group as a whole and I just wondered how -- are you comfortable with that? Is that realistic in a continuing environment of low rates and limited growth?
Stephan Engels: Thank you, very good question. I guess the right moment for giving guidance on 2015 and then outlook on 2015 probably is again more our annual press conference in February than the Q3 results as of now. And nevertheless, let me put it this way. I would believe that the trends that we have seen in the Core Bank should continue well above and through 2014, also into 2015. On group level, that is also the question -- that's always the question, how fast our NCA asset run-down impacts -- or how much the asset run-down impact in NCA drives the group revenue. But again on the Core Bank, I would see no reason to assume the trends stopping but we have now seen for over the last three quarters. 
Operator: There are no further questions left.
Stephan Engels: And thank you very much ladies and gentlemen, and we will see you at the annual press conference of Commerzbank very soon. Thank you very much.